Operator: Good day, and thank you for standing by. Welcome to the WSP Global, Inc. Third Quarter 2025 Results Conference Call and Webcast. [Operator Instructions] Please note that today's conference is being recorded. I would now like to turn the conference over to your first speaker, Quentin Weber from Investor Relations. Please go ahead.
Quentin Weber: Thank you, and thank you for joining our call today. We will discuss our Q3 2025 performance followed by a Q&A session. Alexandre L'Heureux, our President and CEO; and Alain Michaud, our CFO are joining us this morning. Please note that this call is also accessible via webcast on our website. During the call, we will make forward-looking statements. Actual results could differ from those expressed or implied. We undertake no obligation to update or revise any of these statements. Relevant factors that could cause actual results to differ materially from those forward-looking statements are listed in the MD&A for the quarter ended September 27, 2025, which can be found on SEDAR+ and on our website. In addition, during the call, we may refer to specific non-IFRS measures. These measures are also defined in the MD&A for the year ending December 31, 2024. Our MD&A includes reconciliations of non-IFRS measures to the most directly comparable IFRS measures. Management believes that these non-IFRS measures provide useful information to investors regarding the corporation's financial condition and results of operations as they provide additional critical metrics of its performance. These non-IFRS measures are not recognized under IFRS, do not have any standardized meaning prescribed under IFRS and may differ from similarly named measures reported by other issuers and accordingly, may not be comparable. These measures should not be considered as a substitute for the related financial information prepared by IFRS. With that, I will now turn the call over to Alexandre.
Alexandre L'Heureux: Thank you, Quentin, and thank you all for joining us today. Let me start by saying that WSP underlying performance was strong in the quarter. Net revenues, adjusted EBITDA and adjusted net earnings increased by approximately 16%, 20% and 32%, respectively, despite continued fluid market dynamics. Among other things, our results highlight very robust margin improvement, strong free cash flow generation and exceptional performance from POWER Engineers as we celebrate the first year of the closing of the acquisition. Let me now expand on 3 key highlights. First, a few comments on our top line performance. If you turn to Page 5 in today's investor presentation, we highlight a healthy underlying business performance with mid-single-digit organic growth for the quarter. In fact, across our 3 largest segments, Canada, the Americas and EMEA, we delivered mid- to high single-digit organic growth when isolating the impact of a significant project upside in Canada in Q3 2024 and the historical high level of storm-related assignment in the U.S. in Q3 2024 versus the historical low level of such assignments in Q3 2025. In Asia Pacific, we are observing early signals of improvement, including healthy growth in backlog and in New Zealand delivering modest organic growth in net revenue, a first in the last 5 quarters. Second, on profitability. Adjusted EBITDA increased by almost 20% in dollar terms during the quarter. We reached a record high margin at 20.2% representing an improvement of 70 basis points for the quarter and 50 basis points over the 9-month period, supported by continued focus on productivity. In addition, our solid results reflect the absorption of optimization and rightsizing costs, which impacted margin by 30 basis points in the third quarter and 40 basis points year-to-date. Third, I am very pleased with our cash performance, a continuation of our first 2 quarters. Free cash flow reached almost $900 million for the 9-month period, an increase of $645 million compared to last year. DSO stood at 71 days within our targeted range at historical low level for third quarter. We are well on track to exceed our 100% conversion target of annual free cash flow to net earnings. Let's now review our regional operation. Starting with Canada. Net revenue organic growth reached 6% for the quarter when adjusted to exclude the impact of a favorable project in Q3 2024. Looking at the next -- at the year-to-date performance, the region delivered a healthy net revenue organic growth of 7%. Canada delivered an impressive margin of 27.8%, representing a 100 basis point increase compared to Q3 2024 and leading margins across our global platform. Lastly, Canada's backlog grew 15% organically since the beginning of the year. In the Americas, net revenue organic growth stood at 6.6% when adjusting for the lower level of emergency response services in the United States, a standout contributor to our performance in the U.S. and not included in the 6.6% just stated has been POWER Engineers, which posted net revenue organic growth in the mid-teens in both the third quarter and the first 9 months of 2025. Moving to EMEA. Performance exceeded expectations in the U.K. with 11% net revenue organic growth driven by strong positioning as a Tier 1 player in the country. The Nordics showed encouraging signs of improvement, supported by growing backlog, specifically in Sweden. Overall, EMEA delivered 6.4% net revenue organic growth for the quarter and 4.8% year-to-date. Turning to APAC. New Zealand posted modest growth in the quarter, and the backlog has increased significantly year-to-date. In Australia, we are seeing the backlog trending upward, although some clients' decision are affecting its accessibility. Now let's move to M&A. On October 9, we closed the acquisition of Ricardo, a milestone that marks an important step that moves us closer to our strategic ambitions. Ricardo brings world-class expertise in advisory, energy addition and transition, air quality, water solutions and rail strengthening our position in the U.K., Australia and the Netherlands. Our teams are actively engaged in integration activities, including setting up different work streams of importance, our clients' teams are coming together to assess net revenue opportunities. Moving on to POWER Engineers, Q3 marked the first anniversary of our firms coming together, a milestone defined by exceptional results, strong execution and accelerating demand for power and energy services. Over the past year, POWER Engineers has delivered organic growth in net revenue in the mid-teens and is now contributing to WSP margin expansion. From the outset, we recognized a significant potential for revenue synergies. Since the acquisition, that potential has translated in action. Together, we have built a robust pursuit pipeline exceeding $1.4 billion, actively tracking synergies across more than 300 opportunities. One year later, we are proud of the remarkable progress we have made together. Now let's briefly discuss our end markets. Our overall Power and Energy business is performing very well, and our backlog has grown steadily over the past 2 years, reflecting strong market demand for power and energy-related services. This momentum extends to our property and buildings business, which delivered strong results in the AI and the cloud infrastructure sectors. In Q3 2025, we secured data center project wins across the U.S.A., Canada, Chile, Sweden, Norway, Thailand, Australia and Singapore, underscoring our leadership in the global data center market. At the same time, in the commercial real estate market, we are gaining traction in refurbishment and retrofit projects, driven by rising office occupancy and the urgent need to upgrade assets at risk of becoming stranded, further reinforcing our premier position in this space. Meanwhile, our Earth & Environment business continues to see strong demand globally for permitting new energy assets, including power lines, nuclear facilities and hydrogen pipelines. In contrast, some clients have chosen to defer capital projects, which influence the pace of our field season, specifically in Canada and in the U.S. On the Transportation & Infrastructure front, Aviation continues to experience a strong post-pandemic recovery with airports worldwide investing heavily in expansion program, and we recently secured a single mandate to expand Heathrow Airport, which is operating at capacity and undertaking an extensive improvement to meet the mid-21st century air transport demand. Another key win during the quarter was WSP confirmed participation in the Toronto Pearson Airports accelerator program, which delivers vital upgrades and airport assets. Rail and transit remain in demand, and we celebrate 2 major wins this quarter. The Eglinton Crosstown West Extension Station Rail and system contract in Canada and the Uppsala light rail project in Sweden, a 17-kilometer new line valued at $1 billion that support the city climate neutral initiative. In the United States, investment in asset renewal continues highlighted by our recent mandate to modernize the Briarcliff-Peekskill Parkway in Westchester County, New York. This environmental assessment aims to enhance safety and resilience for this 13-kilometer corridor amid evolving climate requirements. Overall, we see continued momentum and positive momentum, but let me state the obvious. We are currently evolving in fluid market dynamics, including, amongst other things, shifting client priorities and evolving geopolitical context. Despite this reality, our key markets are performing well, industry trends remain current and our performance underscores the resilience of our diversified platform and the strength of our execution. Now over to you, Alain.
Alain Michaud: Thanks, Alex, and hello, everyone. I'm very pleased with our results this quarter. For the third quarter, revenue and net revenues increased by approximately 14% and 16%, respectively, displaying solid performance and healthy underlying fundamentals. The increase was attributable to acquisition growth of 10.1% and organic revenue growth of 3.7%. POWER Engineers continue to demonstrate strong growth with a mid-teens organic growth rate compared to Q3 2024. And as a reminder, starting in Q4, POWER Engineers will contribute to our organic growth. Backlog reached $16.4 billion, up 10.6% in the 12-month period, representing approximately 11 months of revenue and a book-to-burn ratio above 1. Moving on to profitability. Adjusted EBITDA in the quarter amounted to $700 million, compared to $585 million in the third quarter of 2024, an increase of approximately 20%. Of interest, we are very proud of the significant milestone reached this quarter with adjusted EBITDA margin reaching a record high of 20.2%, compared to 19.5% in Q3 2024, an increase of 70 basis points, mainly due to our continued focus on productivity. And excluding optimization and restructuring costs, our margin increased 100 basis points in the quarter. Adjusted net earnings for the quarter reached approximately $370 million or $2.82 per share, up 32% and 26% respectively compared to the third quarter of 2024. The increase was mainly attributable to higher adjusted EBITDA and upside in tax expenses and financing costs. As for our cash position, I'm particularly pleased with our continued performance and cash flow generation. Free cash flow was approximately $890 million for the 9-month period ended September 27, 2025, representing an improvement of $645 million compared to the corresponding period in '24. The trailing 12 months of free cash flow totaled $1.5 billion, representing 1.7x net earnings attributable to shareholders. This strong outcome reflects our ongoing focus on working capital management and optimization under our new ERP platform. DSO stood at 71 days on September 27, 2025 compared to 80 days last year, a record for a third quarter. Net debt to adjusted EBITDA ratio stood at 1.4x, which is within our target range of 1 to 2x and allow us to appropriate -- with the appropriate flexibility to deploy capital. On our ERP program, the 2025 deployment proceeded as planned, and we're now preparing for 2026, which will result in 95% of our platform under the new ERP with key regions and entities, including POWER Engineers, Ricardo, Australia, New Zealand and Sweden set to come on board. This milestone represents a critical step in the evolution of our support function. And once fully implemented, these changes will enable us to unlock further efficiencies across the organization, and serve as an additional lever for margin expansion over time. Regarding our financial expectations for the year, we have revised and increased our 2025 financial outlook with net revenue now expected to range between $13.8 billion and $14 billion and adjusted EBITDA between $2.54 billion to $2.56 billion. We are, therefore, well aligned to reach or exceed the higher end of our initial financial outlook issued in February 2025. As a reminder, our '25 financial outlook reflects the expected contribution for Ricardo plc in the fourth quarter. The acquisition closed 2 weeks after the start of Q4, which means we will not capture a full quarter of net revenue. Finally, with the Atlantic hurricane season now essentially behind us, we expect the condition observed this quarter in the U.S. to extend into Q4 2025. For context, these services contributed to approximately $70 million in net revenue in Q4 2024, one of the highest volume recorded in the past 3 decades. As a result, our year-over-year comparison for the Americas segment in Q4 2025 will be influenced by this exceptionally strong prior year baseline. We're also closely monitoring the current U.S. government shutdown, which adds another layer of uncertainty to the operating environment. On that, back to you, Alex.
Alexandre L'Heureux: Thank you, Alain. As we close the third quarter, I want to emphasize that what truly stands out the resilience of our diversified platform. Despite evolving market dynamics, WSP adapted and delivered a strong performance, underpinned by disciplined execution, operational excellence and a clear focus on long-term value creation. The recent acquisition of Ricardo further strengthens our capabilities in advisory and energy transition, air quality, and rail, positioning us to capture opportunities in high-growth sectors globally. We have the financial strength and flexibility to deploy capital for strategic acquisitions in a fragmented market, supported by a robust balance sheet and disciplined approach to M&A. Our pipelines remain healthy with opportunities aligned to our core markets and grow priorities. As 2025 draws to a close, we look ahead to 2026 with measured optimism and confident and our ability to adapt to evolving market conditions and continue delivering value to our clients and our shareholders. Our diversified platform, our strategic focus and our operational discipline position us well to navigate what lies ahead. Thank you for your continued trust and support. With that, we can open the lines to questions -- for questions.
Operator: [Operator Instructions] And the questions come from the line of Steven Fisher from UBS.
Steven Fisher: So on POWER Engineers, congrats on the 1-year anniversary. And so now that you're into the second year of your ownership, just curious what you see as being different during the second year of ownership versus the first year? Is it kind of the main focus of capturing that $1.4 billion pipeline that you said? Is that your main priority? Or is it anything else? And do you think you can maintain this mid-teens growth rate from here?
Alexandre L'Heureux: Very, very good question. I mean in times where there's a lot of noise and things are fluid, actually consistency is oftentimes, something very, very positive and welcome. And frankly, what I expect in 2026 is hopefully something very similar to 2025 for POWER Engineer. We have a great backlog. We worked for a great blue-chip list of our clients. And with what we know today, I don't see why the growth profile of POWER Engineer would change in 2026 versus 2025.
Alain Michaud: And if you look at the overall activity in '25 with POWER, we've done a large part of the integration process. The last milestone is the ERP on Jan 1, '26 -- for most of 2026, will be a year where we're fully combined and harmonized together in our ways of working. So it makes us feel positive about 2026 for POWER Engineers.
Steven Fisher: And then I guess a bigger picture here. When you adjust the growth in the quarter for the 2024 project and the emergency work, you're still seeing maybe a little slowdown in organic growth this quarter overall. So as you look forward to next year, just curious in your confidence in any reacceleration. And if you think you can reaccelerate your organic growth, which markets do you think could become more positive versus those that might see a little bit of deceleration and thinking about mostly regionally, but curious if there's any end market color that would make it different?
Alexandre L'Heureux: Well, I would respectfully disagree with you, I think when you adjust for emergency responses. And again, let me remind everyone, I mean, last year, we've been tracking the fee revenue that we've been delivering with -- during emergency responses in the fall for the last 3 years, all the way back to the Parsons Brinckerhoff acquisition. And last year was the fourth highest in 30 years level of response and services that we delivered in Q3 and Q4 in our history. And this year will be the fourth lowest in 30 years. So we felt that we needed to highlight that to you because once you adjust for this, I mean, I'm quite pleased given all of the noise that we hear in the marketplace right now. People don't talk much about the government shutdown, but we're past a month now, impossible to issue permitting, impossible to get anything done. And despite all of that, I mean we continue to perform in mid-single digits, high-single digits. So I'm quite pleased with that. Going into 2026, the pipeline of opportunities is still very strong. You look at the -- our win rate, which actually in 2025 has increased as opposed to decrease. I mean if we can get the noise aside for a second and gain more stability in the marketplace, I think we'll have clients a lot more in a better position to deploy capital. So going into 2026, I actually believe that it should be a good year for WSP.
Operator: We are now going to proceed with our next question, and the questions come from the line of Chris Murray from ATB Capital Markets.
Chris Murray: Looking at the margin profile, first of all, congratulations on getting over 20%, it's a bit of a target for a while. But one of the things that sort of stuck out to me is when I looked at the kind of the difference between organic growth and change in headcount, in almost all the regions, organic growth has outstripped the change in headcount. And I'm just starting to wonder if there's something that's a structural change in the business? I know you referenced some productivity. But just how do we think about the relationship between your ability to generate organic growth and your headcount as we go into the next couple of years?
Alexandre L'Heureux: That's a great question. I'm pleased that you're highlighting that. I think this is more of a long-term trend than a yearly trend or a change over the course of this year. If you go back the last 10 years, you'll see that the fee per employee that we have been generating over the course of the last decade has consistently increased. So in other words, we're doing more with less. And DAP is the result of many levers that we are pulling as an organization, one being more productive. WSP -- we -- you look at the margin profile and what we have been able to achieve in the last 5 years, the resulting effect of all this is obviously us being more productive, running a tighter ship. I think we cannot exclude also technology. We are using technology. And also, we have entered sectors and markets where we are able to charge a higher rate for the work that we do. In recent years, we've entered in a big way in mining consulting. We are the largest mining consultant in the world. There's not one large mine in the world that WSP is not involved in. And we are able to have a higher charge-out rate for this. Same thing in the POWER sector more recently. So I could go on like this and on for a long time. But over the year, we've changed our project mix. But more importantly, with the use of technology, and that will continue to accelerate. And also how productive we have been, we have been able to do a lot more with less.
Chris Murray: And then to that point, I think I hear Alain talk about like the ERP system is almost ready to go. We're seeing sort of these trends in productivity. Is it fair to think that the year-over-year growth just -- should drive margins? Like usually, there's a fairly standard kind of spread on margins, call it, 50, 60, 70 basis points, that comes as a natural absorption. Is there an ability to change that to accelerate that margin improvement?
Alexandre L'Heureux: I'm not sure I understand your question, but I think over the last few years, if I look back at our track record, I mean, over the years, we have been able to increase our margin profile, good year, bad year, around 50 basis points, Alain, something like that, which has been consistent. To move a global organization of our size by 0.5 point -- by 50 basis points every year to me is a great improvement. And I think would be -- would be leading our peer group, I would argue, in the average peer group. So I'm quite pleased with that. Do I see ways to continue to accelerate that? I can tell you that's what we do every day. We're trying to work very hard to continue to make those improvements. And as a friendly reminder, this year, we've absorbed a lot of redundancy in structural cost, that would have increased by 40 basis points, our already increased margin profile. So if you strip that out, I think the margin improvement this year has been just extraordinary.
Chris Murray: And then just one last one for me. The Canadian budget came down, lots of talk about infrastructure and infrastructure spend. But a lot of those announcements have already been tied to projects that have been made. How are you seeing the change in the Canadian environment with respect to federal stimulus for infrastructure and spending?
Alexandre L'Heureux: Well, I think the focus on infrastructure spending in Canada has always been there. I think where I felt past governments and current governments is, it's one thing to be focused on infrastructure, it's another to deploy the capital and accelerate the spend on infrastructure. Hopefully, this government is very focused on deploying rapidly the funding. So I think the focus on infrastructure is not the issue is to make sure that we deploy the capital rapidly. But certainly, I saw this budget very positively when it was announced.
Operator: We are now going to proceed with our next question, and the questions come from the line of Michael Tupholme from TD Cowen.
Michael Tupholme: Just wanted to ask you about the APAC region, see if you can talk a little bit more about the improvements that you're seeing in that segment and how we should think about organic growth in APAC over coming quarters?
Alexandre L'Heureux: First and foremost, we see a strong growth in the backlog at this point in time. Increased growth in the backlog at this point in both New Zealand and Australia, which is an early, but positive signal. We also see our win rate increasing. And we also see the proposal activity level to slowly increasing as well. So these are our early signs. As I mentioned earlier on this morning, New Zealand recorded positive organic growth for the first time in 5 quarters. So hopefully, this will bodes well for the future. I think Australia is a few quarters behind New Zealand. How many? We'll assess that as we are entering 2026. To me, Australia, and I've mentioned it during the last quarter, we are totally committed to the region. But if you look back at the type of organic growth that we generated in the last 5, 6 years in Australia, I think it's absolutely normal that a country goes through a period of pause after such a big spend in infrastructure. But longer term, I'm quite positive about the country. So long story short, Michael, if I'm being asked to look into my crystal ball, I think it's going to take a few quarters in Australia to see better results.
Michael Tupholme: That's definitely helpful. And then just somewhat related on the...
Alexandre L'Heureux: Sorry, Michael. And by the way, I wanted to be crystal clear on this. This is not self-inflicted to WSP. This is more structural for the country. So what's true for us is true for everyone else. I can tell you that.
Michael Tupholme: No, that makes sense. And then just secondly, just as it relates to the rightsizing costs in the quarter and the corresponding margin impact. Was that entirely in the APAC segments or did some other segments also experience some rightsizing costs and margin impact? And I guess, are we -- are you through those rightsizing costs? Or do you expect there to be more overcoming quarters in any regions?
Alexandre L'Heureux: There's obviously Australia and New Zealand, there have been some, but there's been some others elsewhere. I mean, in the Nordics as well in recent years, we've -- with the cooling off of the infrastructure spend, especially in the private sector with the war, Russia, which is next door neighbor to the Nordics, I think there's been a slowdown. The good news again is we're seeing a strong backlog growth now. And I talked about a large project that was awarded to us in Sweden. So I'm feeling good again around the country and the regions. And for the first time in many quarters now, I feel things are picking up. So that's positive. But to be specific about your question, I mean, we've been rightsizing pretty much everywhere. I mentioned also the field season this summer, which was probably not as good as expected in Canada and in the U.S. because of the fluid market conditions, I think people are more in a wait-and-see approach. So we had to rightsize our field employees over the course of the summer. But again, we absorb all of that, and we're able to deliver actually, I think you would agree, fantastic EBITDA margin in Canada, for instance.
Operator: We are now going to proceed with our next question, and the questions come from the line of Frederic Bastien from Raymond James.
Frederic Bastien: Super pleased with the margins. That's hats off, that's excellent. Looking back 10 years ago, I would have never imagined you could get there, but it's amazing and the fact that you're still going for more is even more encouraging. Just a question on the M&A side. Are you seeing the competitive backdrop for M&A showing signs of improvement in your -- in today's fluid environment? I would suspect so, but I don't want to make a conclusion on my own. So I would love to get your opinion.
Alexandre L'Heureux: Yes. Frederic, very good question. Look, we -- less than 12 months ago, we completed POWER Engineer. This was our largest acquisition in our history. So as you can imagine, I wanted us to do a good job at delivering the value of this acquisition. Earlier this year, we completed and announced the acquisition of Ricardo, which will contribute to the bottom line starting next quarter. And as I said, the pipeline is healthy. If my memory is not failing me, we finished the quarter with a leverage of 1.4x EBITDA. So as you can imagine, we are in a very solid position. And I would like, obviously, to continue to use our balance sheet and use the position of strength that we're in, given our diversified platform to be opportunistic and continue to grow platform.
Frederic Bastien: It seems like there's not a week that goes by that there's rumors about WSP buying a company X, company Y, company Z. Would you care to comment on that?
Alexandre L'Heureux: I don't think anyone should be surprised because I'm probably the biggest supporter and avid supporter of consolidation in our industry. So I'm not surprised that our name is being thrown around with possible rumors. Obviously, I'm not going to comment on those rumors. But I was a big proponent of our model 10 years ago, and I continue to be. And as I said, if we have an opportunity to use our balance sheet, we will.
Frederic Bastien: So normal course of business for you guys, basically?
Alexandre L'Heureux: Yes.
Operator: [Operator Instructions] We are now going to proceed with our next question, and the questions come from the line of Anshul Agarwal from CIBC.
Anshul Agarwal: So I just have one question on your APAC region. So this quarter, WSP reported a strong EBITDA margin improvement in APAC. So could you just please provide some color on what is driving these margins specifically in APAC?
Alexandre L'Heureux: Look, we have been busy since the beginning of the year to set up the business for future success. That's the way I would describe it. We want our Australian business and our New Zealand business to be as fit as possible to be in a position to take advantage when the market picks up again. And as I said, we see early signs of that with the backlog growing in the mid- to high single digit this year that the business is fit to take advantage of that.
Operator: [Operator Instructions] We have no further questions at this time. So I'll hand back to you for closing remarks.
Alexandre L'Heureux: Well, I think there's one additional question.
Operator: Yes, we just have a question that just arrived.
Alexandre L'Heureux: Okay. We'll take it.
Operator: The questions come from the line of Jonathan Goldman from Scotiabank.
Jonathan Goldman: Just wanted to echo the comments about the phenomenal margin performance and that was despite the restructuring. But when do you anticipate completing all the restructuring activities?
Alexandre L'Heureux: Well, we always, always streamline our business. But this year, the reason why we mentioned it, Jonathan, is because, obviously, it's been more predominant than perhaps other years. We had to do it, as I said, in the Asia Pacific region. We've done it in our Asia region. We've done it in our Nordics region. We've done it in the field for field workers in Canada and the U.S. this summer. So because of the size of it, we highlight it -- we did highlight it. Do I think it's going to slow down? I think we've done a lot of that work already. It's been done already, but we should expect to continue to have some.
Jonathan Goldman: And then Alex, you kind of alluded to this a bit, I think in an earlier question. But have the government shutdowns in the U.S. impacted the business significantly or at all, I guess, in Q4? And if we're not looking at organic growth, are there other metrics we can track or maybe ask for color about win rate, close activity that might be a better marker of underlying demand in the U.S.?
Alexandre L'Heureux: I would say that so far, the shutdown has had a minimal impact. But I would then finish my sentence by saying but. So the point I'm making here is that they cannot go on forever. At some point in time, I'll give you an example, the Environmental Protection Agency that are issuing permits, 90% of the staff has been referred, so nothing is being done right now. So for us, right now, no or minimal impact. But if it was to go on for another month or 2, I mean, clearly, the entire industry will suffer from this. So for now good, but more color to be provided in Q4 at the end when and if we are not seeing any further improvement in that regard.
Jonathan Goldman: And maybe one more for me on M&A. You talked about this earlier. And clearly, you guys are always open for business. But is there any area, region, vertical that you're looking at specifically or anyone now that you find more attractive versus other sort of sectors, whether it's power, nuclear or anything that you're looking at specifically?
Alexandre L'Heureux: Yes, we are focused on at this moment on North America. So certainly, despite all the noise that we hear and the tension between our 2 countries, Canada, U.S. WSP, we believe that, one, if not the best place to do work and business in our space is North America. So we continue to be focused on North America. And obviously, if I had an opportunity to continue to grow our platform and the sectors that we're trying to build at the moment, power, water, project management services, transportation even. I mean that obviously is something that I would like to be in a position to do.
Jonathan Goldman: You certainly have the platform to do it.
Operator: We are now going to proceed with our next question, and the questions come from the line of Maxim Sytchev from National Bank of Canada Capital Markets.
Maxim Sytchev: Just a quick one for me as most questions have been already asked. In terms of U.K. growth acceleration, do you mind maybe providing a bit more color in terms of what's happening there because the headlines overall seem to be less than bullion, but clearly, you are finding ways to grow there. So would love to hear some comments.
Alexandre L'Heureux: Well, I think you're absolutely right. We are the leading firm in the U.K., and I'm saying that very humbly and respectfully to our peer group. And you are right in saying that we're finding ways to grow at a very high rate this year. We have an incredible leadership team in the U.K. and our win rate is outstanding. And we're going into 2026 with the same ambitions. So we'll see and more to come when we discuss our outlook for 2026, but I feel we're in a good position in the U.K.
Operator: We have no further questions. I will now hand back to you for closing remarks. Thank you.
Alexandre L'Heureux: Well, thank you again for attending this call, and we look forward to updating you on our outlook in 2026 during the next conference call. In the meantime, I'd like to wish you a great day. Thank you very much.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect your lines. Thank you, and have a good rest of your day.